Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q1 2014 GigaMedia Limited Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advise you that this conference is being recorded today, 14th of May, 2014. I would now like to hand the conference over to your speaker today, Mr. Brad Miller. Thank you and Please go ahead.
Brad Miller: Thank you. This is Brad Miller, Investor Relations Director of GigaMedia. Welcome to our conference call to discuss GigaMedia’s first quarter 2014 financial results. With me today is Dirk Chen, our CFO. As you can see in our press release today, we are extremely and unfortunately Collin Hwang, our CEO, was unable to attend due to some important business matters. Before we begin, I would like to remind you that a number of forward-looking statements will be made during this conference call. Forward-looking statements are any statements that are not historical facts. These forward-looking statements are based on the current expectations of GigaMedia and there can be no assurance that such expectations will prove to be correct. Because forward-looking statements involve risks and uncertainties, GigaMedia’s actual results could differ materially from these statements. Information about factors that could cause, and in some cases have caused, such differences can be found in GigaMedia’s Annual Report on Form 20-F filed with the U.S. Securities and Exchange Commission in April 2014. This presentation is being made on May 14, 2014, in Taiwan. The content of this presentation contains time-sensitive information that is accurate only as of the time hereof. If any portion of this presentation is rebroadcast, retransmitted or redistributed at a later date, GigaMedia will not be reviewing or updating the material that is contained therein. After today’s prepared remarks, we will again go into Q&A session where we'll respond to questions that we’ve taken by email and we will also be taking live questions. With that, I will now turn the call over to our CFO, Dirk Chen.
Dirk Chen: Thanks, Brad. First of all I will present to you for our CEO as he could not join us today and on behalf of him I would like to start with a brief overview. But our real focus today will be what is coming in the next few quarters. First quarter results were in line with our expectation. Overall, results show a [stiff] (ph) weakness in our business not continuous to hold (indiscernible) dependent on the declining PC games market. While we greatly reduced our cost structure, it has not been enough to compensate for the weak performance of our PC games business. As a result, in the first quarter we saw a revenue decrease in our online games business and we recorded a net loss. However, the good news is that during the first quarter, we had a (indiscernible). And as a result of good execution of our growth plans, we are on track to add more growth drivers later this year to turn around our performance. In online games, we have increased our focus on browser mobile games and the social casino games. In line with that, in March we successfully launched for Android devices a mobile game called, Three Kingdoms Partners. First quarter included only one month of operation. So mobile games contribution were not that significant. Approximately 9% of total revenues. We spent (indiscernible) significantly in second quarter as were launching for iOS devices and updating the game content. And so we are penetrating a full stream of contribution. We intend to add additional mobile games in this year and believe mobile games will be a key growth driver going forward. Another key growth driver for our online game business were the browser games. We are currently finalizing the license of a popular browser game and will share more details on this soon. We plan to launch the game late this year and expect it to make significant revenue contribution. Let me turn now to social casino games. We have multiple goals [initiatives] (ph) for social casino games this year. The first initiative will feature approximately 10 of our casino products, which we have upgraded and are easily convertible to mobile formats. Recently, we signed an agreement with new affiliate marketing partner in China, our target market. We expect to begin operation of our social casino game with our Mainland China partner in the next few months. Following that, we plan another initiative in social casino. We expect to launch a net (indiscernible) 2014, a separate, open social casino platform that will feature our game and less of our partner. We are making good progress particularly regarding (indiscernible) partnership. (indiscernible) partners will play a strong role in broadening the product offering and strengthen the platforms. And we expect announce good news related to this soon. Last, some good news about our cloud computing business. This month we launched a key new product, a virtual desktop, VDI, sometimes referred to in the industry as desktop-as-a-service. A virtual desktop basically takes the physical desktop and virtualizes it. We enterprises with desktop computing services that’s why mentioned in a cloud. We now offer public service with a list of pre-installed applications and provide services in which enterprises can select any application to add to their environment. In Taiwan, we fit digital competition with our VDI offering, we are really positioned as a pioneer in cloud service. We do not know of any similar offering in Taiwan. The most similar product we know of is Amazon's WorkSpaces. The value opportunity of VDI is significant for enterprises. We (indiscernible) the need for IT investment in managing complete server and desktop infrastructure. We provide enterprises with anytime, anywhere access to a desktop that the enterprise can control and manage at no cost. We see very good growth opportunity for this product. Our VDI offering is really a platform for future new product and services. We can offer enterprises and believe (indiscernible) to continue to strengthen this year. In summary, a deep transformation of GigaMedia is underway. A vibrant, innovative company that’s emerging with new products and advanced technology. Our business is building is momentum and our outlook for 2014 is strong. We are well positioned to benefit from market growth and we are confident that our new operation will drive accelerating revenue and a growing [sequential] (ph) revenue in 2014. Thank you.
Brad Miller: Thank you, Dirk. I have a few more details to add on our financials and operations. Cash flow from operations in Q1 was an outflow of approximately $2.5 million, an increase from cash outflow in the fourth quarter of $1.8 million. The increase was due primarily to the following. First, termination of the game AVA in the fourth quarter, second, lower contribution from GigaCloud, three, promotions for the launch of our new mobile game, Three Kingdoms Partner, and four, investments in the first quarter in developing new game products and services. Cash and marketable securities current at the end of the first quarter of 2014 were approximately $78.8 million or approximately $1.54 per share, down slightly from $80.3 million at the end of 4Q13. Short-term debt in Q1 was approximately $4.3 million. Let me now quickly turn to our outlook for 2014. Our new mobile game, Three Kingdoms Partner is continuing to perform. We launched the game in March for Android devices and are running about 75,000 daily average users. The game has about 1,500 monthly paying unique users and an ARPU for those players of over U.S. $40 a month, which is very good. We look forward to adding new content to the game and launching the game for iOS devices in Q2. Revenues in Q2 will benefit from the success of our new mobile games which we expect to be sufficient to offset decreases in legacy PC game revenues and lower contributions from our MMO, Tales Runner, which had some special promotions that boosted performance in Q1. In Q3 and Q4, we expect multiple growth drivers to begin making contributions. This may include the following. New social casino games, new license games and new cloud services. Following that, we also expect to launch a social mobile game platform. As a result, we expect 2014 revenues to be heavily back loaded. Finally, a word on share buybacks and shareholder value. While we are confident that our growth plans will drive accelerating growth and increasing shareholder value as we move into the second half of this year, we are not content to wait. Currently our shares are trading at a significant discount to cash on our balance sheet, we see value in buying back shares and an opportunity to deliver an immediate increase in shareholder value. We will continue to invest in our business but we intend to implement the share-buyback in the near future, subject to relevant restriction. That’s our 1Q review and business update for today. Thank you. Now before we proceed to Q&A, a quick reminder. As is standard protocol, we ask that you please limit yourself to one question at a time, so that we all have an opportunity to participate. Operator, could we begin the Q&A please?
Operator: (Operator Instructions) Your first question comes from the line of [Jack Goldberg] (ph) of [Individual Investors]. Please ask your question.
Unidentified Participant: I was curious, I know that on the balance sheet in marketable securities you have that investment in the game company which had a substantial profit. I think it unfortunately has been going down since it's high. I am just curious why you haven't sold any shares in that position.
Dirk Chen: Right. As you pointed out, we do hold shares of a Korean game developer and we are in the process of disposing of those shares and that’s why they are classified under marketable securities current. Under the terms of our investment in that company and our agreement with them, we have a number of restrictions on what we can disclose publicly but we are in the process of disposing of these shares and we are continuing to make progress. But as we pointed out, there has been a delay in disposing of the shares. But going forward, we continue to expect to dispose of these shares.
Operator: Your next question comes from the line of [Andy Shipack] (ph), a private investor. Andy, please ask your question.
Unidentified Participant: Kind of a two-part question here. How many software developers do you have and does the company at this time have a two-year, three-year, five-year type of long-term program or strategy for achieving say $100 million in revenue, something of that nature. Do you have long-term plans like that in place?
Brad Miller: Hi, Andy. Thanks for your question. This is Brad. First of all -- I am sorry, I am just thinking about your strategy question, your long-term plan. What was your first question?
Unidentified Participant: How many software developers does the company have as employees?
Brad Miller: We have a small team in-house. We do a lot of our software development by outsourcing it which is very effective, low cost for us. But I think internally we have a team of about 20 developers. And as far as long-term plans, I think we hesitate to put out a number on what our goal is for revenues but the management team here is very competitive. Pushing very hard to grow revenues and our targets are very high internally and basically the strategy, I think that we have going forward, is to focus in a number of different areas that are all high growth markets where we think we have a good opportunity. We have already started to take steps in these markets. For example, in mobile. The mobile market is really a growth market, particularly in Taiwan and Asia, where the mobile device market is very large and growing. The mobile device market in Taiwan is about 10 million users, mobile gamers are about 5 million. The market is growing north of 10% a year. Now we have made a very small first step with our first mobile game, Three Kingdoms Partner. And that required limited investment but we have had very good results with that so far. In fact, the results have been so good that they have encouraged us to increase our investment in this area. So we have targeted licensing about six more games in the next 12 months and we are already moving forward on this. In addition to mobile we are working on building internally here a mobile, social platform. We are very encouraged by the early results we have had in building this platform and we are quite advanced, to be frank. We will soon enter alpha testing with this platform and we finally begin beta testing in June and July. Depending on the test results of this platform, we may be able to launch by year-end. This is a very innovative, exciting new concept. It's dedicated to the gaming community, so we think it's very differentiated from other platforms that are out there. We see a lot of opportunities with this platform to work with third parties who would see benefits in joining our platform. Browser game is another growth area that we are focused on. As you saw in our announcement today, we are very close to announcing licensing of a very popular browser game, it's an MMO game. This takes advantage of the shift in the market right now towards light content which is really driven by the popularity of smartphones and tablets and social networks. So that’s another area of growth that we are focused on in. And the final one is social casino. We have multiple initiatives going on here that will unfold over the next six months to a year. Now social casino market is the market that we like because it has enduring popularity, it's not a fad. There is very high ARPU in this market and games tend to be quite sticky. As a first step, we are soon going to be starting in China. An initiative where we have some affiliated marketing companies that will be testing some of our games, about ten of our games in China. After that, the next step will be joining with a strong partner to launch an open platform and the partner will help us to add content and deepen the offering that we have of our platform and will help us to grow market share. So we have a lot of growth drivers and we are confident that this is going to drive very good growth going forward but I am sorry at the moment we just don’t have a number for you.
Operator: (Operator Instructions) Your next question comes from the line of [Andy Shipack] (ph), a private investor. Please ask your question.
Unidentified Participant: Not knowing now many other folks might be on the call, I didn’t want to tie you up with additional questions but since there doesn’t seem to a lot of participation, let me ask you this. Geographically, clearly your focus is in Asia Pacific, but are there opportunities in the United States, in other western areas of the world? You have touched upon, I think a very important point about developing relationships with third parties, obviously, I am just going to throw the name of Facebook out there as you know -- I mean are you talking with those kinds of social media type companies. Large companies, established companies in the market, where there maybe opportunities and possibilities for strategic relationships.
Brad Miller: Andy, thanks. Yes, I think when you get into the platform business, especially you have greater opportunity for working with large media companies and global companies. So, yes, I mean primarily our focus really is on the Taiwan market and I guess I would say Greater China or Southeast Asia. But once you get into the platform business, it opens up new possibilities. So, yes, definitely, our eyes are open and we are always looking for strong partners to help drive these businesses and expand our potential.
Unidentified Participant: Are there any investor relations functions planned for coming, say to the United States?
Brad Miller: Sure.
Unidentified Participant: In terms of telling your story?
Brad Miller: Yes, definitely interested in attending some conferences. And in fact we have been fortunate enough to have some investors reach out to us, invite us to conferences. So, yes, we do plan on attending some conferences. It's a great way to introduce our story to investors and we don’t want to miss those opportunities.
Unidentified Participant: I think that’s an important step for the company going forward now. Thanks, again.
Brad Miller: Sure. Sure.
Operator: Your next question comes from the line of [Jack Goldberg] (ph). Jack, please ask your question?
Unidentified Participant: You were vague in referencing the buyback. I was wondering if you could give me more details. Is it starting tomorrow, is it starting in a month? How many shares you are going to buyback? You know I have been a long-term holder and I always notice the book-value always seems to be 50% more than the stock. I was wondering if you have an explanation for that also.
Dirk Chen: Okay. Thanks. First of all, I would like to say our company is always continuing to invest in our business. To grow our shareholders value. And for a long-term, I think business development and business direction, as always we are focused. And this, we believe this could happen in the second half of this year. However, we also see [definitely] (ph) our share price and our company's value. That means our shares are trading at a significant discount to cash of (indiscernible) shares. And to increase our shareholder value in the long-term, I think we should take some immediate action to increase shareholder value. So that’s why we see the value in buying back our shares and opportunity to deliver an immediate increase in our shareholder value. Right now, we already have shareholders' approval of a buyback. But if we decide to do that, our next step is to seek for our board's approval and while that internal process completes, we will announce immediately. Thanks.
Brad Miller: Yes. This is Brad. A few details, I could add to that. Sorry, did you have another question?
Unidentified Participant: Yes. I was just curious, you know like how many shares you are going to buyback? Is that something you could talk about now?
Brad Miller: Yes, that’s exactly what I was going to get to. We have a number of restrictions that we face related to being a Singapore company and just standard restrictions on NASDAQ companies. It's based on price limits and volume limits. The volume limit is not to exceed 25% of average daily volume of the previous four-weeks. The price is not to exceed 105% of the average closing price of the five previous days. So there are restrictions on this and you calculate it obviously at the time that it's authorized. But if we just take now for example, price limit would be approximately $1.10-$1.13. Volume limit would be about 78,000 shares a day.
Unidentified Participant: Right. So not to beat a dead horse, so are we looking at 100,000 share buyback, half a million share buyback, a million share buyback?
Brad Miller: I think it's a little difficult to say at this point the size of the buyback but we will be discussing this more internally and presenting it to the board and we will be making an announcement on that.
Unidentified Participant: Okay. One other just quick question. The previous caller was questioning the amount of software developers etcetera, etcetera. I think as a company, there is an old adage, you need to spend money to make money. You are spending enough money on the technology to develop different games. So something like a Candy Crush or some big home run that we might be able to get?
Brad Miller: Well, I think the pace of investment may increase going forward but we have been, I think, very effective so far and I think we are fortunate in that the mobile games business requires lower level of investment than the MMO business and some other business that were focused on in the past. In the cloud computing business we really have integrated a lot of services and leveraged technology of other companies. Our new cloud computing service, the virtual desktop product, really a pretty groundbreaking service we have developed for quite a low level of investment. So I think we have done a good job that hasn’t required a lot of investment but we may see that increase going forward. I would expect that to increase going forward.
Unidentified Participant: Okay. One last question, if you don’t mind. There is a lot of news now, the cloud computing is getting too crowded. Rackspace, one of the biggest companies, losing its share to everyone. This new bigger cloud that you have done, what differentiates you from other companies?
Brad Miller: Thanks. Let me take a moment to talk about the cloud business. We are making very good progress with this. We have added some key talent to the business and we are expanding our offerings. The new desktop product that we launched, let me talk about that a little bit. This is a very innovative new concept. It’s similar to Amazon's WorkSpaces. I encourage you to actually to Google Amazon WorkSpaces, take a look at the product. It's very similar, very new product from Amazon and it's quite similar to what we offer. This really positions us as a cloud company and opens up new opportunities for us. The offering will enable companies to cut their costs and work more efficiently as well as better manage their infrastructure. Basically, in a virtual desktop product, the CPU and the storage of your desktop is virtualized and it's hosted on our servers. Enterprises get dedicated virtual machines that they can assign to users and then control and manage all aspects of their virtual machine. We have a public service that has pre-installed apps and we have a private service that has customized apps that enterprises select. Now this is a basically, as Dirk was saying before, it's a platform offering that we can add services to in the future. Like CRM tools and office compatible apps. We may also be able to add this service to potential future partners. We believe this product alone has more growth potential than the initial offerings of GigaCloud. And we are first movers with this with no comparable service in Taiwan. Pricing on this product is about 600 NT a month. About U.S. $20 a month compared to Amazon's service in the U.S. which is about $50 a month. Right now we are doing direct sales with it and we plan to leverage channel partners in the future. So I think this is a very young business and it's continuing to change. But this new product really positions us very clearly as a pioneer in cloud and differentiates us quite a bit in Taiwan.
Unidentified Participant: When do you think the revenue from this will occur and is this like a $1 million product, could it be a $10 million product? Do you have any estimates how much business this could bring in?
Brad Miller: Can't estimate at this time but generally speaking, we expect the cloud business to (indiscernible) each quarter this year.
Operator: Your next question comes from the line of [Joe Long], a private investor. Joe, please ask your question.
Unidentified Participant: Congratulations on your latest result. Just a quick question. I have noticed that you don’t have any impairments for first quarter. Could you elaborate more on your cost back of your impairment carried over from previous terms or do you expect there is any more impairment that’s going to happen in the future. Thank you.
Brad Miller: No, we don’t expect any further impairments.
Unidentified Participant: So are you saying that the impairment happened in last quarter won't happen again, so I can expect your EPS to be more or less steady at minus 6 cents or so going [downwards] (ph).
Dirk Chen: Yes, you are right. I think the previous quarter that impairment were related to that (indiscernible) and the intent for acquisition. We had our balance sheet that is ready to our acquisition of our (indiscernible) in many years ago about in 2006. So at the impairment, our balance sheet, we don’t believe there is any for us such significant impairment going forward. Because our intangible assets which are [not valued] (ph), we have impairments in 2013. So going forward I think we don’t see any such big impairment on our company.
Operator: Your next question comes from [Craig Weaver] (ph) of [Invicta] (ph). Craig, please ask your question.
Unidentified Participant: Brad, in light of your comment about, the feeling that the cloud revenue would be growing the rest of the year, what do you attribute the fall off in the revenue stream in this last quarter to?
Brad Miller: Yes, in Q4 we had a special project so the revenues were larger than normal. In Q1 some of the projects that we were hoping to close were deferred into Q2.
Unidentified Participant: Okay. I don’t have your press release here but I think it's a new presentation. You do this two revenue line items now. You've got a second category called other revenue, what's that comprised with?
Brad Miller: Well, we don’t break down the cloud revenues at this point and provide metrics on the cloud business because it's quite immature at this point. We plan to break that out in the future. So other revenues will include cloud revenues and any other revenues that we may have generated in the period. So, generally speaking, yes, you could look at it as cloud revenues but it's not a hundred percent certain each quarter that that would be cloud revenues. So in the future we will be breaking out the cloud revenues but it may take another couple of quarters, I think, before it becomes more meaningful.
Unidentified Participant: But there is no cloud in the first item of -- Asian online and service revenue, there is no cloud in that book?
Brad Miller: Correct.
Unidentified Participant: Okay. That’s helpful. And just a couple of basics here in the balance sheet. I see you got a new item, restricted cash, about $1.5 million. What's going on there?
Dirk Chen: Yes. The restricted cash is that our holding company provides to support our subsidiary for their business needs. That we need to provide some guarantee for our business to the consumer so we ask the financial institution to provide a guarantee and we pledge our cash on that. And while the conditions [lead] (ph), we can make the money back.
Unidentified Participant: Okay. That’s helpful. Thank you. And just going down the balance sheet a little more. You have got marketable securities current up, that’s increased substantially sequentially. What's causing that?
Dirk Chen: Yes. Basically we have marketable security (indiscernible) marketable security and the value increase, that is in the market price increase.
Unidentified Participant: This is the Korean...?
Brad Miller: Exactly.
Dirk Chen: Yes, right.
Unidentified Participant: So you can sell some of it but not just two pieces, one is salable and one not, that’s why it's broken up like this? I thought you mentioned, one earlier question you said about, are you selling the Korean developer, you said, yes, that’s why it's in marketable securities. I guess current versus non-current.
Dirk Chen: Yes. Marketable security, most of that is Korean listing company and a small part is we use our available cash to do some -- to earn high return and to invest some [fund] (ph). And, however, the [fund] (ph) we can regulate at any time if we need to use our cash. So the marketable security come to two things. One is Korea investments and that the (indiscernible) is we buy some stock to user our available cash on higher return and then bank deposits.
Brad Miller: Yes, just to clarify, that item marketable securities current includes, as Dirk has said, the investment in the Korean company and short-term bonds. And we moved some of our cash into bonds in this quarter.
Unidentified Participant: Okay. Great. That’s helpful. And one last one here. Brad, you mentioned on the Three Kingdom scheme, you gave us daily average users, I missed it. You said, how many paying users do you have now?
Brad Miller: 1,500 unique users now.
Unidentified Participant: Got you. That’s $40 or so. Okay.
Operator: Your next question comes from the line of [Andy Shipack] (ph), a private investor. Andy, please ask your question.
Unidentified Participant: Brad, if I go back and kind of remember when this was $13, $14, $15 stock trading on NASDAQ years ago and there was a lot of buzz at that time around online gambling and given media perhaps being [upbeat] (ph) on that. Certainly some of those markets have become a little more liberalized, I know in some of the states here. Is that still a market opportunity? I mean whether it's poker or any of those types of games, is that something that you are even thinking about kind of getting back into or making another thrust in a bigger manner than perhaps is the case now?
Brad Miller: Could you clarify this a little bit, I am sorry. You are saying that are we interested in getting back into poker?
Unidentified Participant: Yes.
Brad Miller: Yes. Poker is definitely one of the key aspects of our social casino platforms. Multiple platforms that we are developing. It's not the only product but, yes, that’s definitely one of the products that games love and we will definitely feature a variety of poker products going forward.
Operator: Your next question comes from the line of [Joe Wong] a private investor. Please ask your question.
Unidentified Participant: You mentioned about your cash burn rate last quarter to be about $2.2 million which is a lot higher than your previous guidance of about $1 million. Could you elaborate more on that item and do you foresee any -- sorry, how do you foresee to it?
Brad Miller: Thanks. As I mentioned, there was an increase in the cash outflow in the first quarter from the fourth quarter due to a number of factors. I think it's in the press release also but let me review that. It's termination of the game AVA which was an MMO that we featured last and last couple of years. We also had lower contributions from GigaCloud. We had promotions around the launch of our new game, Three Kingdoms Partner, that’s our new mobile game. And we had investments in the first quarter in developing products and games, and services for our games. Cash burn rate going forward, Dirk has some comments on that?
Dirk Chen: Yes. I think regular operating cash burn in this quarter actually somewhat difficult to forecast. It depends on the timing of a number of initiatives. However, we can see over the past quarter, our operating cash burn has been about $1 million to $2 million per quarter. So I think it should stay below in this range.
Operator: There are no further questions at this time, please continue.
Brad Miller: Thank you, operator. Thank you, everyone. That’s all we have for today. For further information about GigaMedia or if you have questions and would like to contact the company, please visit our website at www.gigamedia.com. That concludes today’s call. Thank you again for joining us.